Operator: Welcome to Invesco Mortgage Capital Inc.'s First Quarter 2022 Investor Conference Call. All participants will be in a listen-only mode until the question-and-answer session.  Now, I'd like to turn the call over to Jack Bateman in Investor Relations. Mr. Bateman, you may begin.
Jack Bateman: Thank you, and welcome to the Invesco Mortgage Capital First Quarter 2022 Earnings Call. The management team and I are delighted you've joined us and we look forward to sharing with you our prepared remarks and conducting a question-and-answer session. Before turning the call over to our CEO, John Anzalone, I wanted to provide a reminder. Statements made in this conference call and the related presentation may include forward-looking statements, which reflect management's expectations about future events and our overall plans and performance. These forward-looking statements are made as of today and are not guarantees. They involve risks, uncertainties and assumptions, and there can be no assurance that actual results will not differ materially from our expectations. For a discussion of these risks and uncertainties, please see the risks described in our most recent annual report on Form 10-K and subsequent filings with the SEC. Invesco makes no obligation to update any forward-looking statement. We may also discuss non-GAAP financial measures during today's call. Reconciliations of these non-GAAP financial measures may be found at the end of our earnings presentation. To view the slide presentation today, you may access our website at invescomortgagecapital.com and click on the Q1 2022 Earnings Presentation link under Investor Relations. Again, welcome, and thank you for joining us today. I'll now turn the call over to John Anzalone. John?
John Anzalone: Good morning, and welcome to Invesco Mortgage Capital's First Quarter Earnings Call. I'll give some brief comments before turning the call over to our Chief Investment Officer, Brian Norris, to discuss the current portfolio in more detail. Also joining us on the call to participate in the Q&A are our President, Kevin Collins; our CFO, Lee Phegley; and our COO, Dave Lyle. The first quarter was characterized by a continuation of the challenging market conditions that we saw in the fourth quarter of 2021. As the Federal Reserve responded to surging inflation by increasing the Fed funds rate and signaling potential further policy tightening through a reduction of its balance sheet. The yield curve bear flattened during the quarter as the market priced in more aggressive rate increases by the FOMC. During April, the yield curve has flattened further and interest rates moved higher as the market responded to inflation prints not seen in decades. Given the increased interest rate volatility, flatter curve and potentially more aggressive balance sheet reduction by the Fed, mortgages significantly underperformed during the quarter, posting their worst performance since the GFC. This under-performance led to a decline in our book value of 28.5% during the quarter as the lower coupons that make up the bulk of the Fed's holdings underperformed the broader market and that pay-ups on specified pool collateral fell as mortgage rates rose above 5%. Our book value declined an additional 13% during April as the spread widening in agency mortgages continued. Despite the negative performance, our liquidity position remains strong as we held $665 million of unrestricted cash and unencumbered investments at year-end. While this environment was very difficult for mortgage valuations, positively, earnings available for distribution remains supported by slowing prepay speeds, attractive dollar rolls and higher yields on new investments and came in at $0.12 per share. Looking ahead, we remain cautious on mortgages in the near term as the market weighs the possibility of more aggressive balance sheet reductions by the Fed. As a result, we are continuing to reduce leverage and rotate to higher coupon mortgages. Longer term, we expect the environment for mortgage valuations to improve as wider spreads on agency mortgages compare favorably to other sectors, attracting crossover buyers and higher rates will lead to further reductions in prepayment rates and a decline in net supply. So I'll stop here and let Brian go through the portfolio. 
Brian Norris: Thanks, John, and good morning to everyone on the call. I'll begin on Slide 4 with the upper left-hand chart, which details the substantial changes in the treasury yield curve over the past year. As inflationary measures continue to push higher into the first quarter of 2022, the Federal Reserve was compelled to respond by adjusting their focus since the onset of the COVID-19 pandemic from supporting maximum employment to fighting the highest inflation in 40 years. Treasury yields increased across the curve with short-end yields increasing more than long in rates given expectations for significant tightening of monetary policy over the next 12 to 18 months. The move higher in yields has continued into the second quarter as evidenced by the pink line. The funding rates, as indicated in the upper right-hand chart have closely followed expectations for changes in the Fed funds rate, sharply increasing from very low levels beginning in January as the market predicted the first rate hike of this cycle at the March FOMC meeting. Fed Fund's futures markets have an increasingly priced in expectations for further tightening, projecting a terminal Fed Funds rate over 3% by the end of 2023. Meanwhile, the Federal Reserve and U.S. commercial banks continue to add agency mortgages to their balance sheets into March as quantitative easing ended with net Agency MBS purchases dropping to zero by mid-month. The Federal Reserve now owns $2.7 trillion Agency MBS, which alone represents nearly 40% of the almost $7 trillion market. Moving on to Slide 5 where we provide more detail on the Agency MBS market. In the upper left-hand chart, we show Agency MBS performance versus swap hedges since the third quarter of 2021 and generic 30-year 2%, 2.5% and 3% coupons, highlighting the first quarter of 2022 in gray. All three coupons underperformed sharply during the quarter, given escalating volatility due to the significant changes in expectations for monetary policy and the Russian invasion of Ukraine. Minutes from the December FOMC meeting we released in early January, setting the table for a much more rapid shift from quantitative easing to quantitative tightening as expectations for the time line of balance sheet normalization accelerated measurably. Initially, the market was expecting a much longer delay similar to the end of QE3 . Furthermore, market concerns on the potential for sales from the Fed's balance sheet sparked additional deterioration in the Agency MBS valuations and by the end of April, the asset class had experienced its most significant cheapening since the financial crisis with 30-year current coupon nominal spread to treasuries increasing over 100 basis points since May of 2021, shown in the bottom left chart. Sharply, higher mortgage rates have pushed refinancing activity near the lows of the past 20 years and as a result, the value of prepayment protection on specified pools has collapsed, as indicated by the decline in payoffs in the top right chart. In the bottom right chart, implied financing rates on lower coupon TBA increased as Fed purchases declined given the conclusion of net purchases. Attractives implied financing rates and production coupons should persist in the coming months, although we expect some deterioration as the supply and demand technicals worsen in the second half of the year. Given yesterday's FOMC meeting and Chairman Powell's press conference, the Federal Reserve is set to reduce the Agency MBS portion of its balance sheet via paydowns, beginning with a monthly cap of $17.5 billion in June, which will increase to $35 billion in September. Mortgages responded well to the announcement as the ramp to the $35 billion cap is shallower than expected, leading to more reinvestment in the coming months. In addition, there was no mention of asset sales from the balance sheet, which the market interpreted as the signal that potential sales are far into the future and not currently being contemplated by the Fed. Slide 6 provides detail on our Agency MBS investments and the changes in the portfolio during the first quarter. We significantly reduced our allocation to Agency MBS through outright sales of lower coupon securities and pay downs on the total portfolio, given the continued challenges in the sector, while the earnings capacity of the company remained robust through attractive funding rates and relatively slow prepayment speeds. In addition, we continue to actively manage our overall allocation, reducing our exposure to 30-year 2%, 2.5% and 3% coupons in favor of those higher in the coupon stack, while also rotating a portion of our holdings into more attractive collateral stories, such as loan balance, which provides benefits in both premium and discount environments. Despite moving up in coupon, the weighted average pay up on our specified pool holdings fell to 0.3 points as demand for prepayment protection declined, given falling prepay speeds and higher mortgage rates. The modest increase in TBA allocation in the bottom chart is a result of the smaller specified pool portfolio, and we expect to decrease our allocation to TBA in subsequent quarters given the expectation for deterioration in the dollar roll market. The weighted average yield on our Agency MBS holdings increased 47 basis points to 2.54% as of quarter end as our rotation into higher coupons and modestly slower prepayments on our specified pools supported the earnings power of the portfolio. Although we have seen a decline in the attractiveness of the dollar roll market and lower coupon TBA, production coupon TBA remains attractive and we believe wider spreads on specified pools represent attractive investment opportunities. Current ROEs on production coupon dollar rolls are in the mid to high-teens, while specified pool ROEs are in the low-teens. We believe this trend will continue in the coming months as dollar roll and specified pool ROEs converge. Slide 7 is an update on activity in our Agency MBS portfolio through the end of April. As indicated in the chart on the top, we have accelerated the reduction in exposure to the asset class, which largely began as the Fed pivoted to a significantly tighter monetary stance in the fourth quarter of 2021. In addition to the reduction in the overall allocation, we have diversified the coupon distribution substantially as the rise in mortgage rates since year-end provided an opportunity to invest proceeds of sales in lower coupons into more attractive options higher in the coupon stack, given new production in those coupons. Despite the reduction in the portfolio, the rotation into higher-yielding production coupons, slowing prepayment speeds, and an attractive environment and funding markets, continues to support earnings available for distribution. Our remaining credit investments are detailed on Slide 8 with non-Agency CMBS representing 63% of the $98 million portfolio. Our allocation to credit securities remained stable during the quarter with no asset sales and limited price movements overall. Our $70 million of remaining credit securities are high-quality with 90% rated A or higher, and we remain comfortable with the credit profile of our remaining holdings. Although we anticipate limited near-term price appreciation, we believe these assets are attractive holdings as 100% are held on an unlevered basis and provide attractive unlevered yields. Lastly, Slide 9 details our funding book at quarter end, as shown in the chart on the upper left. Repurchase agreements collateralized by Agency RMBS declined to $5.8 billion as of March 31, given the reduction in our specified pool holdings and hedges associated with those borrowings also declined to $4.5 billion net notional of pay fixed received floating interest rate swaps. In order to hedge additional exposures to further out the yield curve, we continue to hold $1.3 billion notional of forward-starting interest rate swaps with starting dates in 2023. Our weighted average repo cost increased 23 basis points to 37 basis points and have continued to climb higher as the funding markets price in tighter monetary policy in the coming months. Our economic leverage when including TBA exposure increased modestly during the quarter to 6.5x debt-to-equity due to the decline in book value. Post quarter end, the reduction in the portfolio brought economic leverage modestly below 6x debt to equity as of April 30 as we remain focused on reducing risk in the Agency MBS sector. To conclude our prepared remarks, significant challenges in the Agency MBS market persist and we're actively reducing risk in order to preserve book value, maintain flexibility and ensure we're well-positioned to capitalize on opportunities when downward pressure on valuations eases. The worsening supply and demand technicals are likely to pressure spreads wider in the near term as we believe fair value given balance sheet runoff is approximately 10 to 15 basis points wider from current levels. While outright sales from the Fed's balance sheet will likely remain an option as inflation remains elevated, we do not believe this to be a 2022 event and would expect outright sales to remain a low probability event if inflation moderates as expected in the second half of the year. In the meantime, we will remain conservatively positioned and ready to take advantage of more attractive entry points in the future. Thank you for your continued support for Invesco Mortgage Capital and now we will open the line for Q&A.
Operator: Thank you.  The first question comes from Doug Harter with Credit Suisse. 
John Kilichowski: This is John Kilichowski, on for Doug. I guess first question now with a smaller asset base. What is the outlook for the future of the dividend now, as you could see pressure there with meeting higher returns?
John Anzalone: Right. Okay. Yes. So first of all, dividend policy set by our Board based on where we expect earnings available for distribution to be over the coming quarters, so it's always difficult to comment on any potential dividend decisions in advance. That said, EAD  came in well above the dividend this quarter at $0.12 versus $0.09, mainly because of slowing speeds and higher reinvestment rates as we rotated into higher coupons, particularly production coupon dollar rolls. So, looking ahead over the next couple of quarters, we anticipate that EAD will be impacted by lower leverage, but also by higher reinvestment rates offered by wider mortgage spreads as we continue to rotate into higher coupons. So, we also expect that as the mortgage basis becomes more attractive going forward, we'll look to begin to lever up again, which should also be supportive. So, that's kind of where we see things going. 
John Kilichowski: Got it. And then second question would just be -- I know it's kind of a crystal ball question, but we talked about this last quarter where we thought how much wider spreads can go. I feel like the commentary now this quarter is roughly similar, even though we've already seen them kind of wide and beyond that. What's your time line and what's your policy right now around kind of book value protection while spreads are kind of in this volatile space? And then where are marginal dollars looking to go and when do you think we can start to expect leverage to be taken up? 
Brian Norris: Yes. Thanks. This is Brian. Yes, that's a difficult question to answer. Clearly, there's a lot of volatility. The Fed just met yesterday with their announcement. So, like I said, mortgages responded pretty well to that just because there's going to be more demand over the next few months than what was originally expected. So, spreads are going to be fairly well-supported during that time frame. But we still think that supply and demand is going to be challenged as we move forward and spreads are going to react to the probability of asset sales in the future. So, that probability has come down, some mortgages have done well, but if inflation remains elevated, then we expect that that probability will increase in the future and that spreads would widen as a response to that. So, it's tough to say. I think right now, just given the volatility and the uncertainty about the Fed path, we're going to remain pretty conservatively positioned until that becomes more clear.
John Kilichowski: Great.
Brian Norris: And the marginal dollar is going to likely go into production coupons, which are more like 30-year 4% and 4.5% currently.
John Kilichowski: Got it. Thank you.
Operator: Thank you. Our next question comes from Jason Stewart with Jones Trading. Your line is open.
Jason Stewart: Hi, good morning. Thank you. I was hoping you could give us an update on your thoughts around portfolio diversification. If that either a time line or an asset class that's sort of coming to fruition there? 
John Anzalone: Yes. First of all, we still believe in the hybrid model and obviously, benefits that come from asset diversification are very important. So, we're still looking at different opportunities. The objective with any new investment strategy is going to be to mitigate some of the risks inherent in the current portfolio. So, we're looking at opportunities that require lower leverage, and in particular, avoiding short-term mark-to-market leverage. Strategies that contribute at greater book value stability would also be beneficial. And of course, expected returns need to be attractive. So, that is kind of what we're looking at, but nothing to report as of right now.
Jason Stewart: Okay, fair enough. And then I wanted to follow up on the TBA dollar roll comments that you made. It sounds like you expect production coupon rolls to remain strong up until some point. Is that point when the Fed is actively out of the market and letting runoff happen so in June? Or do you think dollar rolls could persist in that mid-teens post-June on production coupons? 
John Anzalone: Yes. We think production coupon dollar rolls can remain pretty well-supported. I think these bonds are really just now being produced, just given how fast the mortgage rate has moved up. So 4%s, 4.5%s and eventually even 5%s, there's just not a lot of bonds out there right now. And so that's the reason why the TBA is so attractive because there's a lot of demand for exposure there, but there's just no bonds to deliver. So, we think that that can persist for quite a bit and the other benefit is that brand new bonds don't pay very fast. Right? So it's going to take some time for those to ramp up into higher CPRs, which would then lead to a less attractive TBA environment. So, we think -- I don't want to get too far ahead of myself, but over the next quarter or two, that they can remain relatively attractive.
Jason Stewart: Okay, great. And I guess just to put a point on that, your comment was that you expect the TBA portfolio to be smaller versus vis-a-vis, say, Q4, or Q1 and Q2 and Q3? Is that what your point was?
John Anzalone: Yes, that's right, yes. The overall portfolio is smaller, too. Right? We've reduced TBA just given that we're no longer invested in those lower coupon TBA and we've moved higher coupon. But given the overall size of the portfolio is smaller, then we expect the TBAs will follow suit.
Jason Stewart: Got it. Great. Thanks a lot.
John Anzalone: Yes.
Operator:  And showing none.
John Anzalone: Okay. Well, I'd like to thank everybody for joining us on the call and look forward to speaking to you next quarter. Thanks.
Operator: Thank you. That concludes today's conference. You may all disconnect at this time.